Operator: Welcome, and thank you all for joining today's call, SBA Third Quarter 2025 Results. Please note that today's call is being recorded. [Operator Instructions] With that, I'd now like to formally begin today's call and introduce Mark DeRussy, Vice President of Finance.
Mark DeRussy: Good evening, and thank you for joining us for SBA's Third Quarter 2025 Earnings Conference Call. Here with me today are Brendan Cavanagh, our President and Chief Executive Officer; as well as Marc Montagner, our Chief Financial Officer. Some of the information we will discuss on this call is forward-looking, including, but not limited to, any guidance for 2025 and beyond. In today's press release and in our SEC filings, we detail material risks that may cause our future results to differ from our expectations. Our statements are as of today, November 3, and we have no obligation to update any forward-looking statement we may make. In addition, our comments will include non-GAAP financial measures and other key operating metrics. The reconciliation of and other information regarding these items can be found in our supplemental financial data package, which is located on the landing page of our Investor Relations website. And with that, I'll now turn it over to Brendan.
Brendan Cavanagh: Thank you, Mark. Good afternoon. We are pleased to share another quarter of positive financial and operational results, including industry-leading AFFO per share. We continue to see strong leasing demand in both the U.S. and international markets. And as a result, we are modestly increasing our full year outlook for both new leasing activity and escalations. The bulk of the activity continues to come from new colocations as carriers both densify and expand their network footprints. And the backlog remains healthy as well, and it is steady compared to last quarter. Our services business also continues to perform extremely well, increasing revenue by 81% in Q3 compared to the prior year period, primarily from construction-related projects focused on network expansion. As a result of this activity, we are increasing the full year site development revenue outlook by $20 million. In addition to our strong operating performance, we have also had a number of other significant accomplishments since our last earnings report. We have recently completed the final closing of all remaining Central American assets under our purchase agreement with Millicom. The closings were slightly delayed from our prior assumptions due primarily to timing of regulatory approvals, but we are nonetheless very pleased with how this transaction went, and I'd like to thank our teams that worked tirelessly to get it done. We are excited about the future opportunities for SBA across the region. Also, subsequent to quarter end, we closed on the previously announced sale of our Canadian tower business earlier than anticipated. While the adjusted timing of both the Millicom acquisition and the Canada sale negatively impact our current site leasing revenue outlook, we are extremely pleased to continue to show progress related to our ongoing portfolio review that was originally announced back in February of last year. We continue to focus on being a leading tower company in each market where we operate and aligning ourselves more directly with the leading wireless operators in those markets. Pro forma for the Millicom and Canada closings, SBA owns a total of over 46,000 tower sites worldwide, representing an increase of 40% since 2020. Another recent significant accomplishment since our second quarter earnings report is today's announcement that Verizon and SBA have entered into a new long-term agreement that supports Verizon's continued network modernization plans. This new agreement builds on the long-standing partnership between our 2 companies and highlights the critical nature of our Tower portfolio and our ongoing efforts to help our carrier customers achieve their network goals. As part of this agreement, Verizon has committed to a certain level of growth through new deployments across SBA's best-in-class tower portfolio. The agreement enhances operational efficiencies for both companies and the length of the agreement provides both companies with stability and more certainty for the future. I'm very excited about this enhanced partnership, and I want to thank all who work to get this done. And if that wasn't enough, since our last earnings report, we took advantage of what we believe to be market dislocations, directing capital towards share repurchases. We spent $153 million at an average cost of $196.99 per share to repurchase and retire 776,000 shares. So far in 2025, in total, we spent $325 million to repurchase 1.6 million shares. As of today, we have $1.3 billion remaining on our authorization, and we continue to believe share repurchases play a significant role in creating shareholder value over time. We have been able to grow our portfolio and repurchase shares while still maintaining leverage below the low end of our previously stated range. As stated in today's press release, however, we are officially changing our financial policy and reducing our target leverage range to 6 to 7 turns of net debt to adjusted EBITDA. Marc will discuss these changes in more detail in a moment. So as you can see, there are a lot of positive things going on here at SBA. And the macro environment for mobile broadband growth is supportive of a bright future. Today, we are seeing a greater proliferation of 5G use cases, including fixed wireless access, which is nearing 15 million subscribers today with aspirations of over $20 million by 2028. Paired with increasing mobile data traffic, that's a heavy burden on today's networks. This will require ongoing network investment via overlays and densifications, including cell splitting, refarming of existing spectrum bands and newly acquired spectrum to meet those network needs. Looking further out, the recently passed federal spending and tax bill earmarks 800 megahertz of spectrum to help boost network capacity and support the next generation of wireless technologies, including 6G. The initial wave of upper C-band spectrum will be auctioned off by July 2027. And while there is still work to be done to identify which additional bands will ultimately be auctioned, upper mid-band frequencies such as 4.4 to 4.9 gigahertz and 7.25 to 7.4 gigahertz are currently being studied. These higher bands will not propagate as far and will require denser networks and new equipment at our cell towers. There is a lot to look forward to. Now before I turn the call over to Marc, I'd just like to take a moment to acknowledge Mark DeRussy. After 16 years with SBA and many more in the industry, Mark has decided to retire at the end of the year. This will be his last earnings call. Mark has done a great job representing the company to many of you over the years, and I appreciate his many contributions. [ Louis Friend ], who is an SBA veteran and well known to many of you, we'll be taking over Mark's IR responsibilities after year-end. With that, I will now turn the call over to Marc Montagner.
Marc Montagner: Thank you, Brendan. The slight delay in closing of Millicom compared to our prior assumption around timing impacted the third quarter by $4 million and $3 million site leasing revenue and total cash flow, respectively. Adjusting for the timing of Millicom, our third quarter results were in line with our expectations. Third quarter domestic organic leasing revenue growth over the third quarter of last year was 5.3% on a gross basis and 1.6% on a net basis, including 3.7% of churn. $11 million of the third quarter churn was related to Sprint consolidation which we anticipate to be $51 million for the full year 2025. Our previously provided estimate of aggregate Sprint-related churn over the next several years remain unchanged. Non-Sprint related domestic annual churn continues to be between 1% and 1.5% of our domestic site leasing revenue. Turning to DISH. We currently have approximately $55 million of annualized revenue. Based on lease agreements, we expect approximately $25 million of churn in each of 2027 and 2028 with some small amount before and after these years. During the third quarter, 80% of consolidated cash site leasing revenue and 85% of adjusted EBITDA was denominated in U.S. dollars. International organic leasing revenue growth for the third quarter which is calculated on a constant currency basis was 8.5% on a gross basis. Total international churn remained elevated in the third quarter, mainly due to ongoing carrier consolidation. During the third quarter of 2025, we acquired 447 sites for total cash consideration of approximately $143 million, mostly related to the acquisition of sites from Millicom. Subsequent to quarter end, we closed on the remaining approximately 2,000 sites related to the Millicom transaction. Switching to the balance sheet. We have ample liquidity from both available cash in our $2 billion revolver, which as of today has a balance of $385 million outstanding, drawn mostly to fund the purchase of towers from Millicom and for share buyback. At the end of the third quarter, our weighted average interest rate was 3.8% across our total outstanding debt and our weighted average maturity was approximately 3 years. Including the impact of our current interest rate hedge, the interest rate on approximately 96% of our current outstanding debt is fixed. As you may have seen in our press release, I'm pleased to share with you our new updated financial policy and what it means for SBA going forward. Given the rising rate environment over the past few years and the lack of actionable M&A opportunities at attractive valuation, we have been operating below our steady target leverage of 7 to 7.5x net debt to last quarter annualized EBITDA. In the past few years, we intentionally opted to allocate excess capital to pay down debt and delever our balance sheet to minimize interest expenses and grow AFFO per share. Having operated with leverage in the 6 for several years now, we have concluded that 6 to 7x is the right leverage range for SBA for several reasons. First, it will have no meaningful effect to our future capital allocation strategy. Given our predictable strong cash flow, remaining leverage capacity and revolving credit facility, we'll still have plenty of flexibility to continue our share buyback program and to pursue attractive M&A opportunities. While operating in a target leverage ratio for the past 3 years, we have successfully pursued both options, including $625 million of share repurchase and $1.2 billion of M&A, all while staying below 7 turns of leverage. In short, our capital allocation strategy will remain virtually unchanged with a long-term goal of deploying capital to create high-quality FFO per share. Second, our revised financial policy will create a path for SBA to move towards issuing investment-grade debt. As you may have seen this evening, Fitch just issued their corporate rating on SBA at BBB- at both the corporate level and issuer level. This is now a second investment-grade rating. Pairing Fitch new investment-grade rating with S&P, SBA has a clear path towards raising debt capital in this new deeper credit market. As part of this transition and with our commitment to staying inside the newly revised target leverage rate, we will seek to reduce our percentage of secured debt to total debt as existing secured debt maturities come due or inside their par call window. We have already engaged with the rating agency and are highly confident that they are in full support of our new stated policy and next step. The third and final reason for this new policy is related to our dividend. We expect our dividend to grow over time, and we believe that it is financially prudent to operate our company at a slightly lower leverage to protect our dividend from potential future fluctuation in interest rates. In summary, the investment-grade bond market is the deepest and most robust credit market, which we expect will provide us with many benefits. This includes reducing our overall cost of debt over time, lowering future refinancing risk and extending our weighted average maturity, all while maintaining our ability to pursue a robust share buyback program and be opportunistic on the M&A front. I am excited about this new phase for SBA, and I look forward to providing you with further update on the topic. Let me now turn the call over to Mark.
Mark DeRussy: Thanks, Marc. We ended the quarter with $12.8 billion of total debt and $12.3 billion of net debt. Our current leverage is 6.2x net debt to adjusted EBITDA remains near historical lows. Our third quarter cash interest coverage ratio of adjusted EBITDA to net cash interest expense was a solid 4.3x. During the third and fourth quarter, we repurchased 958,000 shares of our common stock for $194 million at an average price per share of $202.85. We currently still have $1.3 billion of repurchase authorization remaining under our $1.5 billion stock repurchase plan. In addition, during the third quarter, we declared and paid a cash dividend of $119.1 million or $1.11 per share. And today, we announced that our Board of Directors declared a quarterly dividend of $1.11 per share payable on December 11, 2025, to our shareholders of record as of the close of business on November 13, 2025. This dividend represents an increase of approximately 13% over the dividend paid in the fourth quarter of 2024 and approximately 35% of the midpoint of our full year AFFO outlook. As Brendan mentioned, after 16 years here at SBA and over 25 years participating in the tower industry, I have decided to retire from SBA. This decision had been in the works for a while and was part of our overall succession planning process. [ Louis Friend ], who many of you know already has been my partner for the past 12 years, and I'm confident that I'm leaving you in good hands. He knows the company inside and out and will certainly be a joy to work with. I would like to express my sincere gratitude to my teammates at SBA as well as my friends and colleagues in the investment community for your support and friendship for all these years. And with that, I'm ready to open up the call for questions.
Operator: [Operator Instructions] Moving to the first caller in our queue, Batya Levi with UBS.
Batya Levi: Great. Mark, you'll be missed. I do want to start with the Verizon MLA question. Can you provide a little bit more color in terms of how that could impact new leasing revenue going into next year? Does it have amendment, colocation components as well? And also to the extent that they acquire more adjacent spectrum, how would that be MLA capturing that incremental revenue? And then maybe a quick follow-up on DISH. One of your peers have disclosed that they have received a letter from the company to be excused from future payments. Can you just address if DISH is current with you now and if they're also looking to exit the contract earlier than the renewal rates?
Brendan Cavanagh: Okay. Sure. So first of all, on the Verizon deal, we are really, really pleased with this agreement because it is one that we think is going to be a contributor to our growth for a long period of time. It is building on a very strong partnership that we have with Verizon. In terms of the specifics, I can only share certain with you. It definitely has components that are built around both colocations and amendments. There is a minimum commitment around co-locations really for the next 10 years. So that will lock in a certain amount of growth that we can count on going forward. And amendments are still a part of the mix, and they will be driven based on activity and what's happening at the tower site. So we'll be able to capture that growth. And Verizon will get out of it, the ability to have access to our sites with certainty around what those costs are and ease and efficiency of doing business that will help them move quickly to expand their network and meet their objectives. So I think it really is a win-win, and we're particularly excited about that opportunity to work together for a long time to come. In the case of DISH, first of all, they are current on their rents with us. And under our agreements with them, we expect them to honor those agreements and to pay their rents going forward. We have had some correspondence between 2 companies back and forth. But I think at this point, it's best for me to keep that to ourselves between us and DISH, and we'll continue to have those conversations. But we feel good about our agreements and expect them to honor them through the balance of the term.
Batya Levi: Got it. One quick follow-up on Verizon, if I could. Is it -- is the structure similar to what you have with AT&T where there was a step-up and then a step down through the contract life? Or is it more linear?
Brendan Cavanagh: No, it's much more linear. It is not similar to the AT&T deal. That was kind of a onetime special structure that was particular to the situation with AT&T, but it is very different than that.
Operator: Moving to our next question, Rick Prentiss.
Ric Prentiss: Okay. Great. And Mark, good career, great career. Your math is wrong though, it's almost 27 years. We co-authored that seminal [ lease cycle ] and communication tower battle.
Mark DeRussy: Yes, we did, Rick. We got a lot done. Didn't we? You might have checked out a few years, right, Rick.
Ric Prentiss: Yes, I want to appreciate the comments on DISH, obviously, not a lot you say, but it's good to hear the current important means -- are your contracts paid like on first of the month type thing. So just currently they were paid for October, currently they are paid through November? Is there kind of a weird structure when payments are paid.
Brendan Cavanagh: They're typically paid at the beginning of the month. So for the most part, they're paid through November, I guess, at this point, but, yes.
Ric Prentiss: Okay. That's good. And on the Verizon deal, at the Park City Summer Summit, we heard some of the carriers, including Verizon talking about wanting to address high-cost sites, escalators, but on the other side, really focused on a lot of rural expansion. Did you guys bring in high-cost sites into the equation did you touch on escalators, which has always been kind of one of the sacred cows of the tower business. But help us just understand a little more nuance, maybe whatever you can on that Verizon transaction?
Brendan Cavanagh: Yes. No, I mean this is mostly about future growth. So the existing base wasn't really touched at all other than to ensure some extensions to the length of the terms around those agreements. But in terms of the actual financial terms, they really weren't touched.
Ric Prentiss: Okay. That's good to hear. And last one for me. T-Mobile on their earnings call, touched on something that confused some people where they were going to be taking a charge to reduce some of their existing base, not just the U.S. cellular churn but the existing base of towers, which we really don't see very often. So maybe you could just address it as one, where are you at as far as the T-Mobile USM churn? How much is it? And could you accelerate it? And does T-Mobile looking at doing something with some of their existing base that we're all maybe not aware of?
Brendan Cavanagh: Yes, it's hard for me to comment on what they were specifically referring to. I mean, in our particular case, I think we shared before that we have around $20 million, I think, a hair less than $20 million of annual revenue from U.S. [ band ]. We've had minimal interaction with T-Mobile around those sites at this point. But we would expect that a lot of the overlap sites at least would end up getting terminated over the next several years. They have on average about 2.5, 3 years left. So in terms of what they were referring to beyond that, I don't really have any insight, Rick.
Ric Prentiss: Mark, congrats again.
Mark DeRussy: Thanks, Rick.
Operator: Moving to our next question, Nick Del Deo.
Nicholas Del Deo: First of all, Mark, again, going to miss working with you and really appreciate all your help over the years.
Mark DeRussy: Yes, I appreciate it, for sure.
Nicholas Del Deo: Brendan, kind of returning to the Verizon MLA, you noted a moment ago that the deal is much more linear than the AT&T 1 was. So I just wanted to clarify that a little bit. Were you suggesting that the commitments for new leasing activity are relatively linear over the 10 years or something else?
Brendan Cavanagh: No. What I was suggesting is that it's a little more tied to -- directly to activity, whereas AT&T was a little bit more of a wholesale bonus escalator for access. So there wasn't the same kind of direct correlation. In the case of the Verizon deal, the pace -- there's a certain minimum amount that we would expect every year, but they certainly could do more than that. That could shift the timing earlier in terms of some of the growth, but that really will be dependent upon their use of their rights under the agreement.
Nicholas Del Deo: Okay. And how should we think about all that from like a straight-line perspective, prospectively?
Brendan Cavanagh: I don't know that it means a lot. I mean there will be some extensions to terms that I would expect to take place over time that would push up straight line in the early part of the agreement if, in fact, they're active with that. But otherwise, it would just follow along with as any new agreement that's being signed on a site would traditionally trigger?
Nicholas Del Deo: Okay. Okay. That's helpful. And then maybe shifting gears just a little bit to BEAD. We now have some certainty around what might be happening from a fixed wireless perspective. And I'm wondering if you've done any work to try to mention what that might mean for you guys and if it might move the needle from a new leasing perspective?
Brendan Cavanagh: Yes. It's hard to say for sure. I mean we obviously are pleased to see this move away from the fiber focused nature of BEAD that was there before and fixed wireless growth continues to be the leading component of subscriber growth for our key customers. So it's definitely a positive in that sense. But really, our insight into it and what's going to drive it is what our customers specifically are looking to do. And I think if it helps facilitate a faster move out into some of these markets where coverage is not available today, then that's going to be great. And that's probably a part of -- and this is just speculation on my part, but part of what Verizon is thinking about as they enter into an agreement with us like this is that it helps facilitate further expanding their network out into some of those areas. And whether some of that's supplemented by BEAD funding or not, I don't know. But it definitely is helpful.
Operator: Moving to our next question, Eric Luebchow.
Eric Luebchow: Thanks for the question, and Mark, obviously, we will certainly miss you. So maybe just touching on the new leasing outlook, we're almost at the end of the year, probably a decent visibility kind of heading into early '26. And it looks like you'll be run rating at about, call it, $40 million-ish of domestic leasing going into '26. So I guess how do you feel about that level, obviously, given that DISH or EchoStar will presumably be zeroed out next year? And what kind of activity levels are you seeing at the big 3 in terms of colos versus amendments?
Brendan Cavanagh: Yes. I think it's a little too early. Obviously, we're going to give our outlook for next year on our next earnings call. So I don't want to front-run that, and we'll see how we finish the year out. The carriers have been active. Certainly, the new agreement with Verizon will help give us some confidence in what we can expect to see from them as we head into next year. T-Mobile has been very busy, and we have our master agreement with AT&T that's pretty well locked in. So we should be able to have, I think, impacts from new leasing activity that are in the same range as where we are today, but we'll see how things progress over the next several months. In the case of DISH, they were, for us, not a huge contributor anyway. If we look at this year 2025, and what their contribution was to new leases and amendments for this year, it was about $2 million of the total, but most of that was in the first half of the year. So their contributions here at the end of the year are not that great. So I don't -- in terms of like a run rate or their impact on that, it's negligible. But they were a contributor in a minor manner this year. So we'll have to consider that as we go into next year because, obviously, we expect that to be 0.
Eric Luebchow: Yes. Understood. And maybe just as a follow-up, a lot of spectrum transactions announced recently between EchoStar and AT&T and SpaceX. So maybe you could just talk about monetization opportunities with some of the new spectrum that has been announced. I know you have an MLA with AT&T that could potentially limit how much upside you have. But what about some of the satellite spectrum that is being discussed. Do you think there's opportunity on terrestrial networks to maybe deploy that in metro areas where satellite coverage is harder to reach into our areas?
Brendan Cavanagh: Yes. I think there is potentially opportunity, but it's really premature around the satellite piece of it. We have been doing some work. We certainly have had even some very, very preliminary conversations with Starlink about what their plans are. But I think they're also trying to map that out. So it would be premature for me to talk about what may happen from a terrestrial network standpoint with them. I don't think they've necessarily made that decision. And I'm sure you'll hear more from them, and we'll be following up closely on that in the future. So that remains to be seen. In terms of the spectrum that ended up in the hands of AT&T, I think, there are some limitations for sure under our agreement. I know that they've said that a lot of the upgrades they're going to do around the 3.45, in particular, would be more software upgrade oriented. So we'll have to see how that pans out. If they do decide to deploy the 600 megahertz, the timing at which they do that and the magnitude of what that requires will have an impact on what we're able to see in terms of monetizing it. And as of yet, there hasn't been anything. So I don't really have an answer on that today. But that's something that we will certainly be in conversation with them about and we'll be monitoring. But right now, it's a little early to say whether there's much upside there. But I'm hopeful around some of these items because I do think there's a lot of work to be done. And if we've got parties that are looking to spend and to really enhance the networks that are out there through the use of the spectrum, that will be a positive for us.
Operator: Moving to our next question, Ben Swinburne.
Benjamin Swinburne: Congrats to Mark and to [ Louis ]. Good to hear from you guys. I guess I'd like to pick up on that last comment, Brendan, if you're willing to, I know we can't speculate too much of what Starlink might want to do with a hybrid satellite terrestrial network, but maybe you could talk a little bit more high level about what that kind of structure might look like as it relates to SBA. Is that something you think could work in the market could be a bigger opportunity for anyone who's got spectrum that operates both over satellite and terrestrial networks since that would be a pretty interesting development?
Brendan Cavanagh: It would be interesting, but then I have to punt on that question for now because this is really, really early. And I would be just truly speculating at this point. But as I said, when you see a significant amount of wireless spectrum end up in the hands of a new party, it's something we'll have to watch closely and evaluate what their next steps will be and what role, if any, we can play in that. So we'll watch it, and I'm sure we'll have more conversation down the road at some point about it.
Benjamin Swinburne: Makes sense, but I tried anyway. Maybe just turning to the international business. I know you guys have been navigating carrier consolidation and dealing with some elevated churn. It's been kind of a moving target. Any update on how we might want to think about international churn as we look out over the next couple of years relative to what we're seeing in 2025?
Brendan Cavanagh: Yes. I mean we've had quite a bit of consolidation that's taking place across our markets. And so that's certainly weighed on it. We've also had some challenges in Brazil, in particular, with Oi, not only the consolidation of Oi and their wireless operations into the existing 3 carriers that were there, the other 3 carriers that were there, but also their wireline business and their financial challenges. And so we have to kind of get through that, and I'm not being evasive because it's a constant moving target and the conversations are constantly ongoing, so we'll have to see where that shakes out. But I think once we get beyond those particular items, I would expect a significant step down in churn. But those couple of things that are still out there weigh on us. If we're outside of Brazil and you look at Central America, we've kind of gone through that already. We had a lot of that consolidation that happened in rationalizing among the carriers. And now we're in a place where it should be very minimal going forward. So each market is in a little bit of its own place. But certainly, over time, I think, if you look out a couple of years, I would expect the international churn to be much, much less than it's been here these last year or two.
Benjamin Swinburne: Got it. Okay. And maybe just one last one back to Verizon. You touched on it briefly, Brendan, just sort of the benefits that they accrue from entering a contract like this. But I'm wondering if you could talk a little bit more about what Verizon gets out of it, what motivates them to sign a comprehensive MLA with you guys as they think about moving forward with their network just to help us think about their goals and how this could be a win-win for both companies?
Brendan Cavanagh: Yes. And I think -- and I would suggest that you talk to them about that because they will be better at articulating a number of the benefits that they get out of it. But in our discussions and ongoing negotiations around the agreement, it was very clear to us that they have a lot of meaningful network plans going forward. They definitely are interested in continuing to expand their network into places where they haven't been before. And in order to do that in an efficient manner where they would know over time where they could kind of plan out what not only the cost would be, but what the timing would be and how quickly they could move to do that. It was very important to them to have a more comprehensive agreement that gave them that insight and they didn't have to do what we otherwise traditionally like to do, which is to talk about every single amendment and every single new lease application on an individual one-by-one basis and negotiate those, the time and energy that will be saved through that process for them and the certainty that they'll have around how that deployment goes is, I think, very valuable to them, and that's probably the main thing that they were focused on. Plus I believe that -- and I -- hopefully, they would support this, that we're very easy to do business with and tying some of their early work to SBA specifically gives them an advantage. And I also think our services business, which has traditionally been doing more work for T-Mobile historically, but has continued to grow in terms of the amount of work we do for Verizon. I think the ease in having one company sort of present end-to-end type service options for them in an efficient manner makes their deployment even easier. And I think that's something that SBA as a leading services company in this country is able to do. So all of those factors, I think, weigh into the value that they saw in the agreement.
Operator: Moving to our next caller, Michael Rollins.
Michael Rollins: I just want to also extend my congratulations to Mark on your career and the upcoming retirement and [ Louis ] for you for taking over the role. So congrats to you both. Two topics, if I could. Just circling back to the Verizon deal again. If you think about the leasing opportunities that you have on a multiyear basis. So looking beyond just '26, how does this deal influence your conviction on what you described previously in terms of those mid-single-digit domestic leasing growth opportunities on an annual basis? And then the second topic is you mentioned on the regulatory side, there were some delays in closing the latest acquisition for the regulatory reasons. And I'm just curious as you've engaged with regulators, maybe not just in this country but in several of the Latin American countries that you're in, what have you learned about the opportunities to more readily and flexible basis, pursue additional consolidation of the markets you're in versus markets where you may be getting to the point where it's tougher to do incremental deals?
Brendan Cavanagh: Sure, sure. Yes. So on the Verizon deal, one of the things that was very attractive to us was the long-term nature of the agreement and the fact that it does provide for steady, reliable contributions that are very predictable, gives us confidence that we're going to see that over an extended period of time. So that was one of the things that we really liked about it. Now as I said earlier, it's possible that they become much more active earlier on, and we see more of that earlier. But it doesn't have to be that way. And our expectation, and I believe their expectation is that it will be more smoothly implemented over the course of the agreement. So that definitely is a big part of the agreement for us. And it gives us confidence in seeing that kind of mid-single digits growth percentage on the organic growth going forward, certainly, at least with Verizon. So then the second question was on the regulatory delays on the M&A, and that is all -- that's all been internationally related. And what we were referring to is specific, in this case, to Millicom. I mean, it's interesting. It's definitely something that we have to consider in markets where our market share has become quite significant as we look at sort of add-on or bolt-on acquisitions that we might do in those markets, it becomes certainly more challenging if you have a predominantly commanding position in that particular market. But in this particular case, while there was some of that in certain markets because of our presence there, we had delays in the process even in markets where we didn't have a presence. So it's not always the most obvious things that have come up, which is why, frankly, we were off on the timing. We would have expected to not have had some of these challenges in getting the deals approved and some of it is just an efficiency issue in some of the markets. But overall, we have a pretty good sense of where we're going to be able to add additional sites without a problem and where there might be some. And that's a factor when we would even consider bidding on a portfolio or working on a deal. So I don't see it as a major hurdle, but it's just part of the process and the checklist we go through.
Operator: Moving to the next question, Jim Schneider.
James Schneider: I was wondering if you could maybe talk about on the financial side, heading into next year, clearly, interest expense will be a headwind to AFFO. Maybe talk a little bit about any cost saves you contemplate that might partly offset that? Or do you feel like you're sort of at the right cost level right now?
Brendan Cavanagh: You mean cost savings specifically around the financing costs.
James Schneider: No, no, in terms of OpEx.
Brendan Cavanagh: So yes, well, yes. So the interest expense, which is obviously a headwind because we have refinancings to do of some very low-cost debt. We are constantly looking irrespective of that, though, at how we run our business as efficiently as possible. And I think I would expect that we will continue to find ways to operate more efficiently. One of the things -- I know some of our peers have talked about finding efficiencies as the smallest of the 3 public tower companies here in the U.S., we've long had the highest margins. And so I feel like we've been pretty efficient in our overhead structure, but that's an area that we continue to look at. And one of the things that we spent time on is certainly the use of technology and new systems that we're putting in place to help us be more efficient. And as we grow in some of these regions, we're able to do that with very minimal additional overhead additions. So for instance, the Millicom deal, we added 7,000 towers in Central America. We've had to add a little bit of overhead to handle that increased portfolio size, but the relative need in terms of overhead is very, very small compared to what our base business is operating at. So we'll continue to find ways, particularly through growth to do that efficiently and have to add very little in the use of technology. So I hope that we'll -- you'll see us continue to be the leader in that space in terms of the margins.
James Schneider: And then maybe just returning to Millicom for a second. Maybe give us a sense of -- since you've acquired the asset, any kind of change? Or how is the organic growth outlook you're seeing right now and over the next couple of years, kind of comparing to what you underwrote at the time you were diligencing the deal?
Brendan Cavanagh: Sure. Yes. And it's and I will give you an answer, but it's very, very early. Obviously, almost half of those sites were just closed in the last few weeks. So there's no real experience time on that. And the bulk of the -- rest of it was closed a few months ago. So our time frame to evaluate that is very limited. But thus far, having said that, we have seen a lot of interest, particularly from the other leading carrier in the market in accessing those sites. And I expect that we'll continue to see that grow. And we -- my belief is that we're going to do better than what we modeled based on everything that I'm seeing and we'll let you know. I think a year from now, I'll have a much better sense of that. But I'm feeling very confident about that based on the early conversations as we're now getting to closings on these sites.
Operator: Moving to our next question, Aryeh Klein.
Aryeh Klein: I guess, first, Mark, wishing you well in retirement. It's been great working with you. Maybe from an M&A standpoint, now that you have the deal with AT&T and Verizon, how are you thinking about the one with T-Mobile, where I guess you don't have one? And does this deal with Verizon potentially to become a template there?
Brendan Cavanagh: That -- I guess that remains to be seen. I mean every carrier has their own specific things that are important to them, their own network needs. And so we would see how that conversation goes. We have a very good relationship with T-Mobile. They've been, frankly, our leading customer for some time now. And we do have an agreement with them. It is set to expire about a year from now. So this is the time you should expect that we're having conversations with them. But I fully expect that we'll be able to work something out with them because the working relationship has been very, very good, and we'll just have to talk about the things that are important to them and that work well for us. And I'm hopeful that we'll end up in another situation where we have kind of a win-win like we did here with Verizon. So way too early to say how much of the Verizon deal would translate into that. I think each of those negotiations are really stand by themselves. So I would expect that to be the case with T-Mobile.
Aryeh Klein: And then maybe just on the services business. How are you thinking about the sustainability of the recent trends there? And then it sounds like you touched a little bit on potentially doing more with Verizon there. I just wanted to check in on that and just the ability to maybe broaden kind of the relationships you have on the services side to do more there?
Brendan Cavanagh: Yes. I think given the needs of the carriers in terms of the network needs, the growth needs that they've got, that it is something that we can hopefully sustain. I mean, we've had great success although to put it in perspective, this year, assuming we finish in alignment with what we've given as our outlook for the full year, this will be the second best year in the company's history for services. And so I don't know whether that's necessarily sustainable indefinitely because for the most part, we largely have 3 customers in that business. And depending on what's going on with any one of them at a given point in time, that can influence that. But I do think that our ability to deliver, some of our peers getting out of the business and the fact that we've been able to help them accomplish their goals continues to put us at the top of the list in terms of being a provider. And in the case of Verizon, what I mentioned earlier, is just simply as we signed this master lease agreement, while it's primarily about the leasing business, services was a component of that and what we can offer to them through our services business is something that I think they see value in. And I hope that as a result, we'll have a broadening of our customer base in that business that will include a lot more Verizon contributions than perhaps it has in the past.
Operator: Moving to our next question, Mike Funk.
Michael Funk: Mark, congratulations to you and [ Louis ] looking forward to working more with you. So -- but just wondering if you could give us some more background on the negotiations with Verizon, just maybe when they began was the first question. And then second, I think in your comments, you talked about carriers contemplating expanding FWA into more rural areas. Just wonder if there are active discussions you're having with the carriers or that's more anticipation of where they may be moving?
Brendan Cavanagh: Yes. I mean on the fixed wireless piece, that's a little bit of anticipation. We obviously see activity with them where they are signing agreements in places where perhaps they hadn't been before. And it's a little hard for us to tell because the deployment for that is built around maybe meeting a fixed wireless need is -- doesn't look any different than it looks when it's a traditional 5G mid-band deployment. So it's hard for us to know specifically, it's really more anecdotal and in conversation with the folks that we deal with at each of our customers. So I think we'll continue to see fixed wireless as -- since it's a major driver of subscriber growth for our customers, we'll continue to see them push that out into additional communities where maybe they don't have a presence that we can handle that yet. On the Verizon deal, I mean, it was something that we've been in discussions with them around for much of the year, but I really can't share much more than that. You should expect these things take some time, but I think they had a desire to get it done as did we. And so we were able to move fairly efficiently on this, but it's been some time, certainly, it didn't happen overnight.
Operator: Moving to our next question, Brandon Nispel.
Brandon Nispel: Great. I think one more maybe on Verizon. You mentioned minimum commitments and then linear. How different is that minimum commitment relative to what you've been generating from Verizon in terms of new leasing I just want to get a sense, it doesn't sound like there's any sort of really big incremental step in leasing as we're thinking about next year. Just wanted to double check. And then, Brendan, any more sort of portfolio pruning or review that you guys are doing? And just how we should be thinking about cash from any more portfolio work being done, getting used?
Brendan Cavanagh: Sure. Yes. I mean on the Verizon deal, I mean, I don't want to be too specific about the numbers, but you should just assume that, obviously, we wouldn't do a deal where we felt like it was going to produce something less than we would otherwise have gotten on a stand-alone basis. And so we feel very good about what it locks in. And in the case of the portfolio pruning, as you called it, I mean, it's really more of a portfolio review. And the difference in that is that in some cases, we have obviously eliminated markets. In other cases, we've invested more into markets. That's really what the Central American acquisition was about, was improving our positioning in those markets. And so we continue to look at the markets that are a little subscale or maybe not aligned with the best carriers and try to find the best way to improve our positioning in those markets. In terms of the crux of your question, which is really about cash proceeds and what might be available. I think that's probably way too early. And it's not -- if we were looking to leave, it wouldn't be because we're trying to generate some huge cash proceeds. I think the only exception to that was the Canada sale, which was a little more opportunistic, where we were able to secure valuation where we could generate a much higher valuation, frankly, than we get credit for in the public markets. And so that was a little more opportunistic. The rest have really been more about improving our focus in those markets, and we'll continue to evaluate that over time with the remaining markets. But there's nothing that's on the horizon specifically that we're working on today.
Operator: Moving to our next question, David Barden.
David Barden: I come back and Mark, you're taking off.
Mark DeRussy: Glad to have you back, Dave.
Brendan Cavanagh: He said he was leaving because you came back [indiscernible].
David Barden: I know, I can feel it. I can feel that energy and welcome -- and congratulations to [ Louis ], of course. So you guys know -- we've talked about this investment grade versus high-yield situation in the past. And there was a time where you had a choice between being the highest grade, high-yield borrower versus being the lowest grade high-grade borrower -- and I was wondering, obviously, S&P kind of moved the goalpost towards you when they upgraded you in July. And so this kind of came to you rather than you chasing it. But I was wondering if you could kind of elaborate a little bit on as we think about the refinancing costs in the model for the '26, in the '27, the '28, how does this change the game from a financial standpoint, do you think for your average person to evaluate. And then if I could, a second one, which was Brendan, I think you said something interesting about the Verizon deal about how they were building in places where they hadn't built before. I think that there's a concern that this direct-to-sell or the direct-to-device satellite program that Verizon has invested in that AT&T has invested in that American Tower has invested in that T-Mobile's relationship with Starlink, that these are reasons why carriers will choose maybe not to spend money in places where they haven't spent it before. Could you elaborate a little bit on kind of your experience about whether you think that that's a true statement or that's mistaken?
Brendan Cavanagh: Yes. All right. Well, first, on the first one, you're right to a degree in that the rating has somewhat come to us. But it has come to us in part because our leverage has been at a much lower level here. We changed officially, obviously, our target leverage range in announcing that today. But we've operated within that range for 3 years now. So we've essentially been operating in a manner that is consistent with being an investment-grade company and it's just, frankly, part of the maturation process. And we think it's the prudent thing to do at this stage in our life cycle. So the only thing it really requires of us in terms of an action is to move towards less of a share of secured debt. And otherwise, we don't really have to change much in the way that we operate. So we think it's a good idea to do it. We think it's a good idea to do it for a variety of reasons. One, which you refer to as a cost. There although it is, I'd say, fairly small in terms of its impact around cost, which is why we're always hesitant to do it in the past because we felt keeping the additional leverage capacity allowed us to invest that increased capital and create greater returns for the equity. The truth is there haven't been as many opportunities to invest that capital. And we've been investing in any way because we're now down to a leverage point where we have a lot of additional capacity. So we will take advantage of the small differences in the cost. In the case of IG bonds versus high yield, you're probably talking about 50 to maybe 75 basis points of savings. So it's not inconsequential given the amount of debt that we carry. But it is a small saving. And against the ABS market to the extent that we replace that, it would be a much narrower difference, but probably still slightly better. So we still think around -- even if it's small around the edges, it's definitely a positive in terms of the cost of capital and just the depth of the market, and the tenors that we can lock in and some of the things that we'll be able to do over time in that market will be a benefit to us and to our shareholders. So your other question on the rural sites and the direct to sell. We -- and I'm just going to give you kind of my thoughts around it based on what we've seen. We have seen the carriers, at least some of them anyway, pushing more into rural markets and targeting some of those areas. I think fixed wireless access is a big part of that, but there's also been regulatory requirements and some other things that have driven some of that. And there definitely seems to be a desire to cover areas that they haven't been able to get to before. Now rural is a very broad term. There are rural areas that are smaller towns and there are rural areas that are -- have 3 people in them. And there are certainly going to be financial prudence brought to the decision-making by the carriers. And in places where it's just not economically efficient to do it, they're not going to go there. And I think those are the areas that direct-to-sell opportunities are certainly going to replace that, and you're already seeing it. I mean the carriers are using their partnerships with certain satellite providers in order to fill in those needs today. And here's an interesting thing. I think I may have mentioned this on a prior call, but it is an interesting thing I heard from one of our customers a few months back was, "Hey, you know what's great about the satellite offerings in the direct to-sell service is that we're getting to see where there are a lot of pings against the satellite and where it gets very concentrated in a particular area." What that tells us is that we need a macro -- a traditional macro tower or terrestrial solution in that location. It's actually providing them information about where there's a concentration of usage and it would be better served and more efficiently served by them in a traditional manner. What they're intending to see from the satellites is more of that isolated pinging of the satellite. So I'm actually pretty confident that there's still further expansion to take place into some of these areas, but there will clearly be other areas that just never makes any sense and that's okay.
Operator: Moving to our next caller, Jonathan Atkin.
Jonathan Atkin: Once again, congratulations to Mark and congratulations, Louis. Wanted to drill down a little bit on LatAm. Vivo talked about on their earnings call, the opportunity to optimize leasing costs. And at America Movil talked about potential carrier M&A in Chile. I'm just wondering if you could talk about kind of potential implications for SBA from kind of developments in LatAm, such as those and maybe others?
Brendan Cavanagh: Yes. The challenge in some of these markets is that the ARPUs are materially less than they are here in the U.S. And so the carriers are -- not to suggest that the carriers here aren't cost conscious, but they are, but they are seeing a return on the investment they're making in the costs. And I think in some of these other markets, it's much, much tighter in terms of the returns. So of course, there's sensitivity to operating costs and tower costs are part of that is perhaps heightened. I think in the case of Vivo, their comments on their call, they were really talking about there being a need for greater sharing of infrastructure, which is interesting because we would agree with that. We're totally aligned with them on that. The reason that, that affects their thinking around cost is in Brazil, they share the ground rents. The ground rents are pass-through. And so if you have more customers on a particular site, you're able to share that cost together, and I think that's why they want to see that. And we are totally aligned with that and trying to push for that. And I think the idea of moving sites to accomplish that is a little bit backwards. But we're totally supportive of trying to have as efficient and operating environment in terms of shared infrastructure in these markets as possible because I think all parties will benefit in that particular case. And we're working right alongside our customers in each of these markets to try and optimize and make as efficient as possible the use of infrastructure. So everybody benefits.
Jonathan Atkin: And then on the U.S., just wondering, given the multiples that one continues to hear about in the private market. Any philosophical thoughts about, I guess, the talk -- the opposite of tuck-in acquisitions, tuck-in divestiture, so to speak? And would that be something that you're philosophically opposed to? Or just what are your thoughts on that?
Brendan Cavanagh: Yes. I'm not -- I wouldn't say I'm philosophically opposed to it. It's not really what we do. We're not looking to divest the assets that we have, but we would be open to it, of course, if we could achieve a valuation arbitrage that was so significant that it clearly made sense. But there are a lot of practical issues with that, too. I mean our current financing structure has limitations, the master lease agreements that we signed that are more broad-based have implications. And so we would have to really work through that. And I'm a little bit skeptical as to how people out there might look at it if SBA was the seller as opposed to what we've always been, which is a serial acquirer. So we'll have to see. I mean that's something we definitely talk about because there's definitely a disparity in terms of the valuations that, in my view, is totally illogical. And I would say, while -- some would say that those prices are too high and maybe they are in some cases, I would say that our valuation is way too low is really the issue. So hopefully, we'll see that narrow over time, and this won't be as big of an issue as it's been in recent times. We can do one more.
Operator: We have one more question, Brendan Lynch.
Brendan Lynch: Great. And Mark, congrats and [ Louis ] congrats as well. Maybe just 1 question for me. The FCC is considering auctioning 180 megahertz in , I think, it's 3.9 to 4.2 gigahertz band. Are there any carriers that would be able to acquire the spectrum and deploy it via software upgrade based on the spectrum that they currently have deployed?
Brendan Cavanagh: I don't believe the answer to that would be yes. There would be -- this is sort of an adjacent spectrum band and the upper C band, I believe we would need to see from most of our customers incremental deployments, probably of massive MIMO in order to do that. But at this stage, there's a lot of work that still needs to be done around what that means. But our internal view at this point is that it would require incremental antennas and radios. Well, thank you all for joining the call, and we look forward to reporting our year-end results to you next time.
Operator: Thank you to all of the speakers, and thank you all in the audience for joining us today. With that, our call is concluded, and you may now disconnect.